Operator: Welcome to Adient's 2021 Earnings Call. I would like to inform all participants that your lines have been placed on a listen-only mode until the question-and-answer session of today's call. Today's call is being recorded. If anyone has any objections, you may disconnect at this time. I would now like to turn the call over to Mark Oswald. Thank you, you may begin.
Mark Oswald: Thank you, Amanda. Good morning, and thank you for joining us as we review Adient's results for the first quarter of fiscal year 2021. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Doug DelGrosso, Adient's President and Chief Executive Officer; and Jeff Stafeil, our Executive Vice President and Chief Financial Officer. On today's call, Doug will provide an update on the business, followed by Jeff, who will review our Q1 financial results and outlook for the remainder of our fiscal year. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Doug and Jeff, there are a few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to slide two of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. This concludes my comments. I'll now turn the call over to Doug. Doug?
Doug DelGrosso: Great, thanks Mark. Good morning. Thanks to our investors, prospective investors, and analysts joining the call this morning as we review our first quarter results for our fiscal 2021. I want to take a moment to wish our hope you and your families are staying safe and healthy at this very challenging time for all of us. Let me get started, let's turn to Slide 4 and begin with few comments related to our first quarter specifically, Adient's, strong start to the fiscal year, remaining laser focused on our priorities combined with relatively robust vehicle production continued to drive improved business performance in the most recent quarter. Q1's adjusted EBITDA of $378 million was up $81 million or just under 30% year-on-year. Important to remember, last year's results included earnings from our Interiors, Fabrics, and RECARO businesses, which we divested post Q1 2020. Adjusting for those businesses, this year's first quarter EBITDA was up $110 million year-on-year. Equally impressive, with respect to the absolute level of earnings, was Adient's adjusted EBITDA margin performance of 9.8% or 7.4% excluding equity income. That's a very strong proof point that Adient can achieve margins equal to if not better to our nearest competitor. No doubt a strong result, but even more impressive when you consider Adient's consolidated revenue was down about 2% during the same period. Adient's specific launches and impact of portfolio adjustments executed in fiscal year 2020 were the primary drivers of lower sales. Also shown on the left hand side of the slide are Adient's strong Q1 ending cash balances and total liquidity which were approximately $1.8 billion and $2.8 billion, respectively. As you can see, Adient's Q1 financial metrics point to a strong start to the year, and we believe lays a solid path to Adient achieving its fiscal 2021 commitments. On the right-hand side of the slide, we've highlighted a few items that will give you further confidence in the team. These show that in addition to delivering strong quarterly financial results, we are also focused on the future to ensure sustained long-term success. That success will be driven in large part by Adient's ability to provide world-class products and services to our customers. As mentioned on previous call, Adient is striving to become the supplier of choice for our customers. During the quarter, progress toward that goal was validated through a number of external awards. Hyundai Kia selected Adient as one of their Supplier of the Year 2020 honorees for delivering several flawless launches, excellent quality, and supply chain management. Adient's new Floating Seat, pictured on the right-hand side of the slide, won a bronze medal at the prestigious CLEPA Innovation Award ceremony. I'd also point out that Adient supplied seats for the winners of the 2021 North American Utility and Truck of the Year, the Ford Mach-E and the Ford F-150. In China, Daimler presented our BJA joint venture with the Loyal Companion Award, essentially recognizing Adient for being a reliable supplier for Beijing Daimler for the past 20 years. We are among three suppliers who received the award from Daimler who just delivered its 3 millionth car in the market. And in Thailand, Daimler also presented us with Supplier Performance Excellence Award, the only seat supplier for this award. Again, I mention this recognition only to provide proof points that our team continues to execute on many fronts, spanning across operations, products, and customer relationships. When properly executed, we believe these focus areas will continue to drive value for all of Adient’s stakeholders. Speaking of driving value, we understand that a commitment to positive environmental, social, and governance-related business practice strengthens our company, increases our connection with our shareholders, and helps us better serve our customers and the communities in which we operate. Adient's commitment to operate its business in an environmentally responsible manner was recently outlined in the publication of the company's 2020 sustainability report. As you can see on Slide 5, Adient's 2020 sustainability report outlines the company's key policies and actions regarding environmental responsibility, people and communities, governance and compliance and more. Our aim is to ensure that Adient manages risk in these areas and achieves our environmental, social, and governance goals. We've included a link to the full report. Please take a few minutes to learn how Adient is incorporating these policies into our day-to-day operations. Turning to Slide 6, let me provide a few comments on Adient's recent business wins. On Slide 6, you'll see a few of our new business wins, which shows that our continued focus on capital allocation and return on capital when targeting new and incumbent businesses has not limited our ability to secure new business. We've recently highlighted a number of recent program wins here, including the all-new EV program with GM, Peugeot 3008 and 5008, both new programs for Adient, and in China we secured the Lincoln Nautilus program. Not shown, but very important to our portfolio of business, the team secured the incumbent GM Traverse and Enclave crossovers as well as the GMC Acadia crossover, which is non-incumbent to Adient. Also it should be noted, that our recent business awards include a good mix combination of JIT [ph], foam, trim, and metals business. As our new book of business continues to launch, we expect balance in and balance out platforms to further enable margin expansion. One last point on new business wins, specifically sourcing of the new business. Fiscal 2021 is shaping up to be a higher-than-normal year for quoting and sourcing new and incumbent business. We expect the outcome to be favorable for Adient, which will strengthen the business in the out years. The uncertainty for the remainder of fiscal year 2021 is the impact to customer productivity demands on nomination fees required to secure the business. This is not unusual; however, it's worth mentioning considering the volume of sourcing is elevated this year. Looking at Slide 7, we've highlighted several critical launches that are in the process scheduled to begin in the near-term. I'm happy to report the launch is currently underway including F-150 are progressing well. Second F-150 manufacturing location in Riverside, Missouri is well underway and progressing up the launch curve as planned. The launches and platforms shown not only impact Adient's JIT facilities, but also span across our network of foam, trim, and metal facilities. The entire team is performing at a high level as evidenced by our current performance. As mentioned on prior calls, the team has made significant improvements in our launch management over the past several quarters. A strong focus on discipline around launch readiness is underpinning Adient's successful performance. I might add we have no intention of letting up on this activity. Now turning to Slide 8, let me conclude my comments with an update on various macro factors we're managing through and are expected to impact the industry and Adient in the coming quarters. The list should look very familiar as many of these factors were highlighted as we entered fiscal year 2021. On the positive side, continued monetary stimulus is expected to result in positive economic growth and the economic growth is forecasted to accelerate later in the year as the number of individuals who are vaccinated against COVID [indiscernible] teen virus increases. All of this is very good news and supportive of the industry. That said, there's several factors we're managing through that are tempering our expectations. They include supply chain disruptions primarily related to semiconductor shortages, which are resulting in near-term production downtime across the industry impacting Adient's customers. We continue to monitor the situation at this time. It is too early to know if loss production in Q1 or Q2 will be made up before the end of Adient's fiscal year. Putting the temporary production disruptions aside, the current level of global production appears to be supported by improving consumer demand in the rebuild of inventory. Moving on, commodity costs, specifically steel and chemicals have continued to escalate versus our original estimates. The teams are working hard to help mitigate these increasing costs. Important to remember, even though escalators and agreements are in place to help recover these costs, the agreements do not cover 100% of the increase. In addition, the time and method for true-ups vary by customer resulting in a time lag as to when Adient begins to receive recoveries. Jeff will provide additional detail on the topic in just a few minutes. Few other items noted on the slide include labor shortages and premium freight in all regions and elevated launch cadence in the Americas. As mentioned earlier, Adient launch performances improved significantly and we feel well positioned ahead of the launches. That said, we're very aware of the heart that lies ahead. We're not taking the current or upcoming launches for granted. Summing up, a strong start 2021 provides a solid path to achieving our fiscal 2021 commitments. Tariff [ph] appears to contain a few speed bumps. Rest assured the team is working hard to navigate around them. I'm confident Adient will manage through these obstacles much as we did in 2020. And with that, I'll turn the call over to Jeff to take us through Adient's first quarter 2021 financial performance and what to expect as we move through the rest of fiscal 2021.
Jeff Stafeil: Thanks, Doug. Good morning everyone. Let me echo Doug's earlier comments and I hope everyone is safe and well. I'll start my comments on Slide 10. Adhering to our typical format, the page is formatted with our reported results on the left and our adjusted results on the right of the page. We will focus or commentary on the adjusted results which exclude special items that we view as either one-time in nature or otherwise skew important trends in underlying performance. For the quarter, the biggest drivers of the difference between our reported and our adjusted results relate to restructuring cost and purchase accounting amortization. Details of these adjustments are in the appendix of the presentation. Sales were $3.8 billion, down about 2% year-over-year which as Doug noted, was driven by portfolio adjustments executed in fiscal 2020, which impacted the year-over-year comparison by about $70 million. In addition, Adient's specific launches, such as the F-150 also contributed to the year-over-year decline. Adjusted EBITDA for the quarter was $378 million, up $81 million or just under 30% year-on-year, more than explained by improved business performance and lower SG&A cost, partially offset by a decrease in equity income. Speaking of equity income, which is included in our adjusted EBITDA results, Q1 fiscal 2020 included $17 million of income related to our JV that we sold earlier last year. Therefore, on an apples-to-apples comparison, Adient's seating [ph] equity income was up year-over-year. I'll detail the drivers within the equity income in just a minute. Finally, adjusted net income and EPS were up significantly year-over-year at $162 million and $1.71 per share respectively. Now let's breakdown first quarter results in more detail, starting with revenue on Slide 11. We reported consolidated sales of $3.8 billion, a decrease of $88 million compared to the same period a year ago. The key drivers of the year-over-year comparison included just over $70 million of lower sales attributed to portfolio adjustments executed in fiscal 2020 namely the divestitures of our Fabrics and RECARO businesses. In addition to the divestitures, volume and pricing contributed to just over $80 million of revenue decline. The biggest drivers included lower volumes in the Americas, primarily the result of Adient's specific launches, such as the F-150 and to a lesser degree, Tesla's decision to in-source complete seat production. For markets outside of China and Asia, Adient sales were impacted by export reductions in Thailand and Japan. A positive impact of currency movements between the two periods of about $67 million partially offset the impact of the divestitures and lower volume. In China, Adient sales were strong and outperformed vehicle production in the region. Adient's favorable customer and platform mix continues to drive growth over market. With regard to Adient's unconsolidated seating revenue year-over-year results were up approximately 11% excluding FX. In China driven primarily through our strategic JV network, sales were up 13% year-over-year excluding FX and the sales outperformance versus the market is attributable to Adient's strong mix of business, specifically our exposure to luxury and Japanese OEMs. Moving to Slide 12, we've provided a bridge of adjusted EBITDA to show the performance of our segments between periods. The bucket labeled Corporate represents central costs that are not allocated back to the operations, such as executive office, communications, corporate finance, legal & marketing. Big picture, adjusted EBITDA was $378 million in the current quarter versus $297 million last year. The key drivers of the increase included improved business performance, which consisted of normal course, commercial settlements, lower labor and overhead freight and ops waste. Regarding the commercial settlements, these settlements as discussed in the past, tend to be lumpy in nature between quarters. Settlements are common toward the end of the calendar year as our customers close out their fiscal year. Settlements tend to be pretty consistent from one year to the next as timing is not uniform throughout any given year. I would also say that we saw an elevated number this quarter, and thus expect slightly elevated number in 2021 as a result, call it about $20 to $30 million. We would say this elevated portion is not expected to repeat. It's also worth mentioning that our commercial accrual balance is slightly up year-over-year, again suggesting that our charges to and releases from the accrual tend to remain in balance, over the course of the year. SG&A was another strong contributor in the quarter across all regions, driven by increased efficiencies and the positive benefits associated with the divestitures of Fabrics and RECARO. Partially offsetting the positive factors just noted, was about $37 million dollars of headwinds, primarily associated with lower equity income of $21 million, lower volume and a mix of $9 million, and the impact of FX, call that about $7 million. With regard to the biggest driver, equity income, as mentioned just a minute ago, the year-over-year comparison was impacted by the absence of Interior's equity income resulting from the Wi-Fi divestiture of about $17 million. In addition, equity income contained approximately $15 million of headwinds, including a $10 million tax refund recognized in Q1 fiscal 2020 that did not repeat this year. These headwinds were partially offset by the positive contributions of volume and efficiencies this year totaling about $12 million. I'd like to point out that our adjusted EBITDA margin, excluding equity income, increased by 260 basis points year-over-year to 7.4%. Even adjusting for the one time commercial items I noted, and normalizing the commercial settlements noted earlier, we would estimate our margin, excluding equity income, would be between 6 and 6.5%, and thus showing nice improvement over recent quarters. These results provide a solid proof point that Adient's core operations are benefiting from the numerous turnaround actions executed to date, and more important, demonstrates the earnings power of Adient and its ability to achieve peer like margins or better. Thinking of the turnaround, we're also encouraged to see continued progress at Adient's SS&M business. For the quarter, Americas and EMEA metal manufacturing combined improved by about $40 million compared to last year's first quarter. The team is working extremely hard to improve the profitability and the free cash flow of that business. Despite the strong first quarter results, I would caution certain of the factors that benefited Q1's earnings and margin should not be calendarlized or extrapolated to the full year. For example, the timing of normal course commercial settlements and equity income favor Q1 and our first half results and are not expected to have the same impact on future quarters this year. In addition, it is unlikely the extremely rich mix of production experienced in Q1 will be sustainable. And finally as Doug noted, we see certain headwinds on the horizon to supply chain disruptions and rising commodity prices that are expected to have a greater impact on our results as we progress through the year. On our Q4 call last year, we noted that we expected between $40 and $50 million of commodity headwinds in 2021, but that number has been increasing and today we'd estimate the impact to be closer to $80 million or $90 million to $100 million if you add increases related to freight. Essentially none of this headwind was experienced in Q1, and the vast majority will be seen in Q3 and Q4. More on that in the outlook discussion. To ensure enough time is allocated to the Q&A portion of the call, we've provided our detailed segment performance slides in the appendix of the presentation. Improved business performance, including normal course commercial settlements, positive operating performance, which includes lower freight, ops waste, and labor and overhead and lower SG&A cost, partially offset by the impact of rising commodity prices, is the primary takeaway from Americas and EMEA regions. In Asia, the reduction in EBITDA is explained by the sale of our interest in Wi-Fi, the non-recurrence of certain benefits recognized in last year's Q1, that did not repeat this year, such as the $10 million tax refund, which was partially offset by improved performance in China, and volume related weakness elsewhere in Asia. Let me now shift to our cash, liquidity and capital structures on Slide 13 and 14. Starting with cash on Slide 13, for the quarter, adjusted free cash flow defined as operating cash flow less CapEx was $160 million dollars for the current quarter versus $148 million in Q1 fiscal 2020. The year-on-year increase was the results of a combination of several factors, the most significant being the $81 million improvement in adjusted EBITDA and improvement in trade working capital and lower capital spending. Partially offsetting these positive drivers was an expected increase in restructuring, higher interest paid, elevated non-income related taxes, specifically VAT payments and some commercial activity. With regard to VAT payments, we'd expect these to be neutral over time, due to the timing of certain payments. We are expecting a negative result this year and reversing in fiscal 2022. As noted on the right hand side of the slide, we ended the quarter with approximately $2.8 billion in total liquidity comprised of cash on hand of about $1.8 billion and approximately $1 billion of undrawn capacity under Adient's revolving line of credit. No doubt, a very strong cash and liquidity position that we believe should provide protection against near term macro uncertainties and enable significant debt reduction as the company progresses through fiscal 2021. Thinking of debt and flipping to Slide 14, in addition to showing our debt and net debt position, which totaled just under $4.4 billion and approximately $2.5 billion respectively at December 31, we've also provided a snapshot of Adient's capital structure. Just a few comments here. We believe Adient's capital structure provides us with flexibility to weather near term macro uncertainties, such as COVID or supply chain related production stoppages and provides ample flexibility to voluntarily pay down debt. As you are aware, we began our voluntary debt paydown during the fourth quarter with $103.5 million in principle paydown of Adient's 10-year 4.875% unsecured senior notes. With the exception of a small repayment on our EIB loan, in part triggered by Q4's voluntary debt paydown, Adient hit the pause button on voluntary debt repayments in Q1 as the uptick in COVID cases and supply chain disruptions clouded the near term production outlook. We look to reinitiate our debt paydown initiatives in the near term as uncertainties I just mentioned lessen, which we hope is not too far away. As mentioned on past calls, over time we'd expect to have zero outstanding balance on the revolver, and run with a cash balance, somewhere in the $500 million to $600 million range, which points to a significant opportunity for debt paydown in 2021. Moving on to Slide 15, but sticking with the overall debt theme, we included the trend chart for Adient's net leverage going back to our spin date. As you can see, at the time we became an independent company, our net leverage was just under 2.0 times. Unfortunately, operational issues, which were well documented throughout 2018 and 2019, drove an increase in leverage. That increase was exacerbated with the impact of COVID, specifically with the stoppage of vehicle production across EMEA, and Americas, which resulted in a significant drop in EBITDA during our Q3. After peaking in the middle of calendar year 2020, we've seen a steady decline in our leverage ratio. The biggest drivers of the decline include, the successful continuation of Adient's turnaround plan, which is leading to significant EBITDA improvement and better cash generation, the lessening of COVID on vehicle production, and proceeds related to certain non-core divestitures that took place in fiscal 2020. We'd expect the positive trend to continue as improved business performance continues to drive earnings and cash flow growth. Moving to Slide 16 let me conclude with a few thoughts on what to expect as we progress through fiscal 2021. While we would definitely characterize our Q1 as a good quarter that demonstrates the momentum of our turnaround efforts, I know many of you may be tempted to take our Q1 results and multiply by four to get revised full year estimate. I wish it was that easy. We're just one quarter into the year though, and the team will keep working to keep the momentum going. However, it's important to point out that there are certain Adient specific factors and macro headwind that give us pause, it prevents us from annualizing the strong start to the year. Let's break down the specifics. Starting with revenue, although we are not changing our guidance, we now expect consolidated revenue to trend towards the upper end of the range provided back in November, call it approximately $15 billion. Currency movements over the past few months is the primary driver. I'd also note that even though the production and mix has remained relatively in line with our assumptions heading into the year, elevated risks of production downtime resulting from supply chain disruptions, the most significant related to semiconductor stoppages or shortages, tempers expectations in the near term. In fact, just yesterday Ford announced temporary production reductions for the F-150, Adient's second largest vehicle platform. Ford's announcement comes on the heels of GM's announcement earlier this week, announcing downtime at three of their facilities, beginning the week of February 8. Although receiving advanced notice of downtime helps to lessen, but not eliminate operating efficiencies on our side, the team is also managing through stoppages with little notice, which as you know adds costs and inefficiencies at our facilities. Of course we're working closely with our customers to understand if or when these temporary reductions can be made up. Given Adient's September fiscal year, our current outlook does not assume production is made up before September 30. Outside of these near term temporary disruptions, we continue to assume second half, fiscal 2021 global production will decline compared with the first half of fiscal 2021 production, especially in China. This assumption is aligned with our current IHS forecast. Regarding EBITDA, it's early in the year, and there are many uncertainties such as commodity inflation, supply chain disruptions leading to production uncertainties, and the incredible uncertainties related to the direction COVID will take us. Given these uncertainties, we continue to forecast adjusted EBITDA in a range between $1 billion and $1.1 billion as I mentioned previously. I should say that we're pleased with the strong start to our year. As Doug and I mentioned, macro headwinds, including rising steel and chemical prices, and premium freight, will have a much more significant impact on Adient, as we progress through the balance of the year. With regard to rising commodity prices, just a reminder, even though Adient has a formal recovery mechanism, including indexing agreements in place for a significant number of our customers, the agreements provided partial offset to price increases, let's call it between 70% and 90% on average. However, it's important to remind you that a time lag exists until the price adjusts as our agreements for certain customers provide for relatively quick true-ups or settlements, or other agreements, primarily with our Japanese based OEMs are settled on an annual basis. Given our relative over exposure to customers with more infrequent true-ups, a large proportion of the recoveries will occur in fiscal 2022. Moving on to equity income, which is included in our adjusted EBITDA, continues to track on plan, call it approximately $250 million. As a reminder, and noted on the right hand side of the slide, we continue to expect equity income will mirror seasonality patterns of China's vehicle production, strongest in Q1, followed by a substantial decline in Adient's fiscal second quarter, which tends to be impacted by lower production surrounding the Chinese New Year holiday. In fact, we're expecting equity income to be halved in our second quarter compared with our first quarter just completed. Interest expense, based on our expected cash balance and debt should be approximately $235 million. This forecast does not include the positive impact that would materialize with future voluntary debt paydown. Cash taxes in fiscal 2021 are expected to be around $85 million. It's important to remember that we maintain valuable tax attributes, such as net operating loss carryforwards, and that these tax attributes can be used to offset profits on a going forward basis. The cash taxes on Adient’s operations should remain low even as profits are increasing. To assist with your modeling, although volatile with fluctuations between quarters, as mentioned earlier, we continue to expect Adient’s effective tax rate to be around 30% for fiscal '21. We'd expect that rate to fluctuate on a quarterly basis due to the valuation allowances in our geographic mix of income. Capital expenditures are forecasted to range between $320 million and $340 million, essentially in line with our fiscal 20 results. Although we see opportunity to reduce CapEx further in the out years, driven in partially by a smaller SS&M business, the current year expenditures are supporting current launch plans. And finally, one last item for your modeling. We continue to expect free cash flow to range between breakeven and $100 million in fiscal '21. As mentioned back in November, there are several one-off factors driving the result for fiscal '21, such as an elevated level of cash restructuring, which is expected to be a $200 million. The elevated spend, which is about two times our normal run rate is necessary as we execute actions to right size the business, especially within our European operations, where external and internal production forecasts remain below pre-COVID levels for a number of years. In addition to an elevated restructuring spend, the 2021 free cash flow is negatively impacted by approximately $60 million of tax payments that were deferred from last year into 2021. Stripping out these one-offs, Adient’s free cash flow in a normal year would have been in the $160 million to $260 million range. With that, let's move to the Q&A portion of the call. Operator, we'll take the first question.
Operator: Thank you. [Operator Instructions] Our first question comes from John Murphy with Bank of America. Your line is open.
Aileen Smith: Good morning guys. This is Aileen Smith on for John. Going back to that normalized adjusted EBITDA margin of 6% to 6.5% that you commented on for the first quarter, running the math on your outlook, we get to an EBITDA margin that's in the high 6% to low 7% range for 2020. Can you talk about the cadence of the margin that you anticipate for 2021 with some of the headwinds you noted like chip shortages and raw mats? And on a normalized basis should we be thinking about sequential improvement in margins through the first half of the year versus second half as you’ve been able to demonstrate in the past or are there some factors at work that we should be thinking about through the cadence of the year as we use that 6% to 6.5% as a starting point?
Doug DelGrosso: Yes, that's a great question, Aileen, it's I will say, it's a tough year to forecast and -- some of these things which are just changing every day, primarily the production schedules relating to chip shortages are difficult to predict, and commodity headwind is certainly going to have a negative impact on our margin. But when we tried to highlight in the 6% to 6.5%, what I did, what we did there as we said, we had about 20 to 20, let's say $25 million of one-time commercial benefits we did, which we took out of that number when calculating that. And then we took out, we had more than, let's say, 25% of our normal years, commercial settlements occur in the first quarter, so call that another $25 million. So, we kind of backed out that $50 million in calculating it. Some of the other quarters are going to be underrepresented on commercial recoveries, because we did more in the first quarter, so I'd say you're going to see some bumpiness on our margin because of those few factors, the chip shortages, the commodity inflation, and then the timing of these commercial settlements. But I will say as we look at it, we continue to see the fundamentals of the business improve, so there's going to be some noise probably in the bottom-line margin, but fundamentally here, we've been seeing improvements in performance that we could -- we do expect to continue to trend well but do expect some noise in the quarter-to-quarter margins.
Aileen Smith: Okay, that's helpful. And second question is following up on the raw materials commentary, can you provide us with an estimate of what this was in the quarter? I wasn't able to follow it in the bridge and specifically how you expect it to increase in magnitude for the remainder of the year? And then can you just remind us how this gets shared with the automakers via pass-throughs and escalators and if you have any hedging or other vehicles or mechanisms that you use to offset that?
Doug DelGrosso: Yes. So on the first question, there's about $5 million, give or take in the first quarter of commodity. So, we've called out about 80 now, so there's about $75 million in the balance of the year. I'd say most of that is going to be Q3 and Q4. As you -- in that, what we've also seen is freight, the freight issues kind of multiply a bit. You've seen a shortage of containers, primarily from Asia but that impacts a number of our regions. That has increased freight, and it's also required us to do some other forms where we, every once in a while we unfortunately have to fly things because of some of the challenges in the freight side. I'd say, really, none of that hit in the first quarter, and that's $10 million to $20 million that we're factoring in for the year. As you asked about the recovery mechanisms, it depends on the customer. Some of our customers are immediate, but other ones -- and so there's immediate recovery, and we have an index. And I would say what you've seen with steel is you've seen an unprecedented jump in steel prices. And we tend to, the way we model this is, we tend to lock in for a quarter or two, but then as the year rolls we have to -- where we've seen these big increases, we have to start to pay a higher price. And our customers in some cases where they're immediate were able to grab that disconnect quickly. Other ones where we have a year lag, which is pretty much all of our Japanese customers, which is significant for us, will take time. And that's why we don't see, 70%, 90% of the increase is being recovered in fiscal '21. We see some of those things being pushed to '22. So, they should be favorable for us if the prices maintain stability in '22, but that recovery on those particular customers will happen later.
Jeff Stafeil: Yes. And Aileen, I think the other point I would add to it is, that's myopically around just the way our agreements work, the contractual agreements that we have in place right now we're experiencing really unprecedented, particularly in steel levels of buy, and it's difficult to see when that will mitigate. So, what we lump into the discussion with our customers is how we think about annualized productivity in the midst of this environment in the midst of chip shortage as these issues all kind of converge at the same time. We're in discussions with them and in other avenues that we can go down to mitigate some of the impact. So, you have this best suite [ph] of goods kind of approach that you have to take into account. It's too early to really tell what's happening. I guess the point I was trying to make is, even if we have a year lag, that doesn't necessarily mean that, that's what we're willing to accept in an environment we're operating in right now.
Aileen Smith: Right, that's, very helpful color.
Doug DelGrosso: Just to clarify something you said before, which you didn't, you had mentioned our 2020 progression of ROS, when I was talking to the 6 to 6.5, that excluded equity income. So I don't know if that was in your calculation, but that is an improvement. We haven't seen that level of margin, even with those adjustments I put forward in any of the quarters in 2020. So this is even after making those adjustments would be an improvement over what we've seen.
Aileen Smith: Okay, fantastic. That's very helpful. Thanks for taking the questions.
Doug DelGrosso: Yes, thank you.
Jeff Stafeil: Thank you.
Operator: Thank you. Our next question comes from Rod Lache with Wolfe Research. Your line is open.
Rod Lache: Hi, everybody. Can you hear me?
Doug DelGrosso: Yes. All right, Rod.
Jeff Stafeil: Yeah, hi Rod.
Rod Lache: Okay, hey, good morning. I was hoping you could talk about the targets for cost and business improvement that you're sort of looking out for over the next 12 months and how that could contribute upside beyond that $1 billion to $1.1 billion EBITDA that you're looking at for this year? I think you've previously talked about $200 million of restructuring with a two-year payback. So presumably, that's about $100 million and I think you said that SS&M would go from EBITDA breakeven, the cash breakeven, which was another 100. I'm not sure if that's double counting. And then presumably, you have non-recurrence of the semiconductor shutdowns and COVID containment costs. So kind of high level, if we kind of fast forward, hopefully a year from now, things are looking better and the world is kind of normalizing. And you've got your, some of the things you've accomplished, I mean what are some of those big items that we should be looking out for?
Doug DelGrosso: Well, I'll start. The one that you didn't hit on rod, which has been part of our overall plan and lags a little bit, whether it occurred -- it occurs and evolves over time is the roll-on and roll-off of businesses. And what we've always commented on, we haven't necessarily put a specific target on it, but we said, the last element, in addition to what you mentioned, would be just getting rid of the bad business that we couldn't drive, the efficiencies, whether their labor and overhead, or probably more importantly, materials to sell ratios. And we just had to have those roll-off. So, that's really the buckets that we look to draw from.
Jeff Stafeil: But nothing's changed around our target Rod of, really eliminating that GAAP we have to our peer margin.
Rod Lache: Right. So if we think about, going from 6 to 6.5 towards closer to 8.5, can you just maybe characterize that the big buckets that you've got, that your kind of targeting, how large are each of these components, whether it's restructuring or, getting out of some of the weaker contracts that you've got?
Jeff Stafeil: Yes, so, it's difficult to do in total high level, but some of the big pieces, the seat structures and mechanisms business, we mentioned a $40 million improvement in the quarter, I'd say, and we put out a target to you guys some time ago to exit this year at a, free cash flow, breakeven, which, compared to a couple years ago was a $400 million outflow. That's a combination, obviously, of taking $100 million of CapEx or so out of that business. But it's also, dramatic improvement in the EBITDA. We're in a great progression of that. I'd say, there's lots of work to do there. So, that's a couple billion dollar, business plus operation as an opportunity to, lift as we get to where we want to be, and I think we're starting to see some reasonable, sights on where we can get it to a substantial portion of that margin gap that you noted. The combination of what we're seeing across each region, as we go into our customers with different strategies around how can we take a bigger piece of their volume, control more of the spend, maybe control the foam and the trim, and take that with the VE [ph] efforts and the benchmarking we've been doing. There is significant opportunity for us to take cost out of our customers product, while adding margin to our business, that is taking root in the Doug's had, and all the Regional Presidents have been having, really, in depth discussions with our customers on how to do that. And a lot of those activities have been implemented, that trend, we see will continue to drive and be the other real engine on that growth. As it relates to, the restructuring, and some of those, we continue to find efficiencies there as well. You mentioned, the activities we initiated last year in the U.S. and have been able to take out the activities that in Europe that are, we'll say about halfway implemented in 2021. So we'll get some additional benefits as we get the full year effect of those in 2022. And we'll continue to lean out the structure, but I'd say there's going to be more emphasis on those first two pieces then, than the last in that recovery.
Doug DelGrosso: I was just going to add to it rather reason at least I was a little bit hesitant to ask is it's, as we've said before, it's really difficult to bucket these things in, and put labels on them, how much is going to be commercial, how much is going to be operational improvement, it. It's, encompasses everything Jeff just referenced. It's really working every element of the cost structure that we have in balancing that against the cost drivers be they inflationary, material economics. And in our, the appetite that our customers have right now for cost reduction. In the one thing I would say that's maybe a little bit different than what historically we've seen, which I think is good news for us. And not that we're changing our outlook or timeline, we've always labeled that timeline to be multiyear and taking us out to 24, 25 to close that gap is an increasing appetite is, as Jeff mentioned, our customers have for cost reduction. And they're really asking for ways to not just the traditional Vabe. Can you make a small change? They are asking for fundamental VAVE change in the way, can you make, a small change. They're asking for fundamental change in the way, they design and develop and market seat systems and their vehicles. And that's a huge opportunity but you can't really call that cost reduction. It's really, recasting how you think you commercially discuss those issues with your customer, the impact that it has on your own operation? And then what kind of sharing that you agreed to put in front of them.
Rod Lache: Okay, thanks. I just wanted to ask one other question, just, I'm sure you'd agree, one of the most striking things that we've seen here in the industry over the past year is just how much capital is being raised by new entrants. I was wondering if you could just maybe make a comment about how you're looking at it from Adient’s perspective, are you pursuing business with a dozen new potential customers or are you taking a somewhat more cautious view on that?
Doug DelGrosso: Yes, I would say we're, if I were to characterize it much more cautious. And that's not to, cast that negative shadow on any particular venture that's out there. I think what we've learned over the last couple of years is, and we've got ways to go to get our business back on track, it's really focus on fundamentals, focus on traditional customers to a certain degree. There are some new OE's that we are participating with, NEO would be a good example, Tesla is another example. We continue to pursue, but they've demonstrated to a certain degree, sustainable volume that they can deliver to the market. And again, with our traditional customers coming on board with propulsion changes in their vehicles, there was opportunity for us to pursue that. As some of the new entrants demonstrate the ability, we'll re examine them. But pursuing, diversifying our customer base and pursuing, that is something we stepped away from a couple of years ago, and we don't see that changing right now. It's, fairly risky. And there's plenty of opportunity. If you just prioritize where there is opportunity for us to drive value, we see it in kind of our traditional markets and not necessarily in these new markets right now.
Rod Lache: Great, thank you.
Doug DelGrosso: Thanks, Rod.
Jeff Stafeil: Thanks, Rod.
Operator: Thank you. Our next question comes from James Picariello with KeyBanc Capital Market. Your line is open.
James Picariello: Hi, good morning, guys.
Doug DelGrosso: Hi James.
James Picariello: So I really appreciate all the color on the guide and cadence for the year. Can we just walk through the moving pieces, particularly within EBITDA that leaves the full year guide unchanged? It sounds as though commodities are 35 million worse, another 15 million from premium freight, both of which are back end weighted, and then on the positive side of the ledger you have commercial settlements and favorable mix in the first quarter. What did I miss there? Any clarification would be great in terms of what keeps the full year guide unchanged, the puts and takes?
Doug DelGrosso: Yes, James, I'd say, the biggest thing that keeps the year unchanged is the difficult of, it is just the environment. One, we're very early in the year; but two, you just saw, if you read the journal, Wall Street Journal this morning in a big article on Ford, our second largest platform went down yesterday and shorter shifts for while. We've seen that impact on the chip shortage throughout the world. That's significant COVID, still being where it is. So all those things sort of weigh on us, but you grabbed the pieces, the commodity exposure, freight exposure, the timing of those commercial settlements, the fact that we, I'd say we had a little bit of an elevated, we call it, $20 million to $30 million benefit in Q1 that we'd say is not repeatable. So all those things factored in and just, with all that decided, wanted to see a little bit more of this year develop before we changed our outlook.
James Picariello: Okay, got it. That’s helpful and then just on the equity income outlook, you made the comment, second half or the first half 50% higher than the second half. So it's kind of a two thirds, one third breakout, what's that?
Jeff Stafeil: That was just a quarter reference, not a half year reference. We said, so second quarter includes the Chinese New Year and we said the second quarter would be roughly, half the amount of first quarter.
James Picariello: Okay. All right, I got that, all right. Just following up on the commodities, then, so you're now looking at an $80 million headwind, you mentioned the customer recovery mechanisms likely hit next year. So should we assume 75% of that $80 million is recovered next year, just what's the right way to be thinking about that in terms of the recovery? Thanks.
Jeff Stafeil: And that one depends a lot on where the prices go. So if prices stay steady, we'll eventually recapture the difference and we will no longer be running at a deficit because just think of it in any given market, if we're buying steel at 100 and our contract with the customers is 100, and just for metrics and then steel goes up to 110, we're still getting only a cost or recovery from a customer based on 100. Once the price goes up to 110, we eliminate that difference. So, all that really happens if price stays steady, is that, we essentially stop the bleeding on this. As prices eventually reduce, then we'll start to get, we'll get recovery, because we'll have it work the other direction. Yes, hopefully that makes sense.
Doug DelGrosso: Yes and I guess I would add on top of that, in our opinion it's for you, draw the goal lines. We fully expect it will always recover material economics at some point, it's just a question of how long it takes. As Jeff mentioned, if steel prices go down, then we'll recover it relatively quickly and it won't take extraordinary means for us to get it. If they don't, then it's a different dialogue with our customer because we won't sustain it for an extended period of time, if even if market rates stay high. And so, whether it's true-up on a new product launch, that addresses it or again, we just broaden the conversation to include other issues to mitigate the impact of it. And that's namely, customer product, analyzed customer productivity.
Mark Oswald: Thanks, James.
James Picariello: Got it. Thanks.
Mark Oswald: Operator, if we can move to the last question?
Operator: Thank you. Our last question comes from Brian Johnson with Barclays. Your line is open.
Brian Johnson: Yes, two questions, one kind of more of a housekeeping and the second more strategic organizational. Just as we watched the production schedules at Ford, kind of, and tried to kind of get an accurate gauge on fiscal 2Q, how should we be thinking about the revenue impact of every kind of week of downtime or every unit of downtime, without getting too deep into your actual Ford pricing?
Jeff Stafeil: It's hard to do without getting deep into a Ford pricing. The production numbers…
Doug DelGrosso: Pretty quickly what our Ford pricing looks like, I guess I gave you that level of detail just because there is so transparent about the number last unit, so I'd be very reluctant to do that.
Brian Johnson: And well, I guess that's just, given the slides we all know how to make slide decks, but kind of as you put together the slides, as you kind of reviewed them before blasting them this morning, are you confident that the Ford news was fully reflected in your outlook?
Jeff Stafeil: Yes, I think so.
Brian Johnson: Okay.
Jeff Stafeil: I mean, what we know, now that doesn't mean that, additional things. Yes, I would say.
Brian Johnson: And second question, just kind of following on the theme of the other questionnaires around kind of visualizing the waterfall walk back to industry, competitor margins, yes I want to ask maybe a softer question, particularly Doug kind of, as you look now versus where you came in, at some of the key organizational challenges, I know moving to regional they created accountability. Where do you think you stand? You must be looking at Red, Yellow, Green charts endlessly, but just in terms of do you have the right people in the right roles, both facing off in terms of account management, working, partnering with the key OEMs, and at some of the key factories, and key kind of supply chain positions, how has that evolved, what work is there left to do? Is the team basically that you need, on the field executing or are there still gaps you need to fill?
Doug DelGrosso: Yes. And not to be coy, I do not look at Red, Yellow and Green charts to get an indication of how we're performing. We tend to look at numbers. And, respectfully, that's just a different way that we're driving the business. Right now we focus a lot of attention, and we talk, the business and numbers and drive that deep into our organization, so everyone's understanding that we're not managing the KPIs. We're managing to a bottom line level of performance, whether it's EBITDA or EBIT or return on investment or capital or how we're generating cash. Relative to the organization, it's actually it's interesting and time we ask that question. We just had a succession plan review with our Board last week and I was pretty happy to report that, although we'll constantly make tweaks in the organization to adjust to the environment, we feel really good about the organization that's in place right now. We're not foreseeing any major changes. We've brought a lot of new talent into the group and then we've moved the strong talent that we had here and adding into the right roles, and then changed the way we're compensating them and how we expect them, to motivate them. And that's, very much connected to the basics of customer satisfaction, and then business financial performance. So, yes, the regional move worked out well, for us. There's no perfect organization, but I think breaking the company into some smaller parts that we could manage a little bit easier regionally. I feel fortunate that we did that ahead of COVID because it would have been, even with all the technology without having the right people on the ground in region it would have been difficult to do manage the business, but we've got strong leaders in every single region, and then they've all reshuffled their team to some degree. And so, back to the succession plan, as we go layers deep compared to where we were maybe a year or two ago, we feel a lot better about that organization.
Brian Johnson: And just a quick follow up. Okay.
Mark Oswald: Thanks, Brian. And unfortunately, we're out of time here. So, for those of you who did not get a chance to ask your questions, I'll be available for a follow up, please just feel free to reach out. This concludes the call for this morning.
Doug DelGrosso: Thanks, everyone. Stay safe.
Jeff Stafeil: Thank you.
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.